Operator: Good morning, ladies and gentlemen. Welcome to the full year 2023 Result Conference Call of ProSiebenSat.1 Media SE. This conference is being recorded. Today's call is hosted by Mr. Dirk Voigtlander. Please go ahead, sir.
Dirk Voigtlander: Good morning, ladies and gentlemen, and welcome to ProSiebenSat.1's full year 2023 investor and analyst conference call also from my side. Our CEO, Bert Habets and CFO, Martin Mildner, will be hosting today's call. Bert will begin by presenting the operational and financial highlights of 2023. Martin will then provide detailed commentary on our financial performance and the dividend proposal for the financial year 2023. Following this, Bert will discuss the operational developments in last financial year and present the full outlook for 2024. As always, the presentation will be followed by a Q&A session. With that, I would now like to hand over the call to Bert.
Bert Habets: Welcome, everyone, and thanks for joining our full year results call today. Today we want to look back on the past with you. We want to share our expectations for 2024 and beyond, and we want to show you how to strengthen our business for the coming years, thus, shaping the future of entertainment. 2023 was a year of major change for our company. We put our new strategy in place and we are well on track with its execution today. Entertainment is now at the core of our business. We work on expanding our digital business. We put our streaming platform, Joyn, at the center of everything we do. We want to focus on the freely accessible and ad-financed part of Joyn. With this, we strengthen Joyn's position as an AVOD offering in the market. This opens new monetization opportunities for us. We can now offer our advertising customers more digital and smart advertising products on Joyn, and this creates new revenue streams. Also linked Joyn closer to our channels. This is also reflected in the positive development of all our key performance indicators. Another digital business model with strong growth is our audio business. We have increased our advertising revenues in our podcasting business in the full year 2023, and we are ready to expand here even more. Streaming and podcasting are just two examples of how our industry is changing. To withstand international streaming players, we will have to cooperate even more closely in the industry. Facing increasing competition, we need to form partnerships to leverage synergies. We will cooperate with competitors where it makes sense and where legally allowed. Only through cooperation we will be successful in the future as an industry. Our North Star must always be, how can we make our offerings more attractive for our users and for our partners. In the past month, we also increased our reach and monetization with selected partnerships. Just recently, we announced a pioneering innovative Ad Tech collaboration with RTL Germany. Furthermore, we made Joyn available on Deutsche Telekom's Magenta [Tiefbau] and extend it our distribution deal with Vodafone. And our Studio71 is partnering with RTL II for their sales on YouTube. More on some of these examples a bit later. While entertainment is at the center of our strategy, Commerce & Ventures contributed meaningfully to our revenues in the past year. Segment posted double-digit percent growth in 2023. We drove operational performance of our assets. We maximized their media synergies, and we refined and optimized our portfolio. Specifically, we saw very positive developments and financial performance at Verivox and Flaconi. The adoption of our strategy, two clear priorities emerge for our group: we fully integrated Joyn and its employees into our company. Joyn is now part of our structures and processes. We work hand-in-hand every day on how and where to develop our entertainment segment in the future. With this integration, we also restructured our group. We increased cost efficiency and streamlined our processes. This new organizational setup is now in place since November 1. Now work in a leaner, more efficient setup throughout the whole organization. The savings that we achieved will take full effect in 2024. Let me now give you a quick overview of our financial development. Martin will go into details later. In 2023, our group revenues amounted to €3.85 billion. This was in line with the financial targets that we had updated in November. The implied organic decline of 4% was attributable to the challenging macroeconomic environment. On the other hand, we saw an improvement in our advertising business throughout the year as well as strong growth at our Commerce & Ventures segment. This partially compensated the negative development. Our entertainment advertising, DACH revenues were below the prior year level, even though they developed stable towards the year-end. We posted significant growth in our digital and smart advertising revenues. This was especially driven by Joyn's strong operational performance. For digital platforms and commerce business posted strong growth in revenues and adjusted EBITDA. The Dating & Video segment was still impacted by lower consumer spending, by regulatory headwinds, and strong competition in the U.S. market. Our net financial debt reduced to €1.546 billion at the end of 2023. Our financial leverage was at 2.7x and hence within the targeted range. As expected, Q4 2023 strongly contributed to net debt reduction. We saw strong cash generation at the end of the year. For 2024, we assume a slight increase in group revenues to €3.95 billion with a variance of €150 million. We expect an adjusted EBITDA of €575 million with a variance of €50 million. This takes into account a positive development of our entertainment advertising DACH revenues. Let me now hand over to Martin, who will go into more details of our financial development.
Martin Mildner: Thank you, Bert, and good morning also from my side. I will now continue with a review of the group's financial key performance indicators of our financial year 2023. Despite another year of macroeconomic challenges, we were able to generate growth in many areas of our portfolio at the end of the year. As a result, we achieved our most recently communicated annual targets. Group revenues developed in line with expectations and amounted to €3.852 billion in financial year 2023. In addition to the macroeconomic challenges, consolidation effects and the decline in revenues in the Dating & Video segment had a negative impact on our group revenues. On the other hand, revenues of the digital smart advertising business in the DACH region grew dynamically. Companies in the digital platform and commerce segment also recorded significant growth. We generated €1.28 billion of group revenues in our important fourth quarter. This represents an increase of 1% compared to the same quarter of the previous year. On a currency and portfolio adjusted basis, our group revenues fell by 4% in financial year 2023 and increased by 2% in the last fourth quarter of 2023. 2023 advertising revenues declined by 7%, both at group level and in the DACH region. However, the group's DACH advertising revenues in Q4 of the last year increased by 1% compared to Q4 2022. The group adjusted EBITDA fell by 15% to €578 million, reflecting a very challenging environment. In the first half of the year, in particular, the high margin and cyclical advertising business had a negative impact on earnings. To counteract the decline in revenues, we have taken efficiency measures to streamline our organization. The cost and efficiency program was fully implemented at the end of October 2023 with a new structure taking effect in November of last year. The resulting savings will be fully realized this year. When we look at the adjusted EBITDA of Q4, we saw a significant increase of 11%, which is, beside of some onetime effects, reflecting an overall better earnings performance of the entertainment business, as well as strong growth in several parts of the Commerce & Ventures portfolio. Adjusted net income fell by 25% to €225 million. This was mainly due to the decline in adjusted EBITDA, higher interest expenses and offsetting at equity results and taxes. Adjusted operating free cash flow decreased by 47% to €260 million on full year basis. Again, we'd like to note that our strong Q4 made a significant contribution to this outcome. This context, I would also like to come back to what we communicated in December last year. Decided to further increase the share of exclusive local programming content, and at the same time, reduce the share of U.S. licensed content along with an increase of investments in our programming cost within the year 2024. Against this backdrop, we have decided for an impairment of existing programming assets and to build a provision for onerous contracts in connection with acquisition of future programming assets totaling €325 million. Both decisions are included in the numbers for the fourth quarter of 2023. This amount was adjusted in the financial KPIs shown here. Effects on all reported figures can be seen both here in the presentation on Page 29, as well as in our Annual Report published today. So let's turn to Page 8 and take a closer look at our entertainment business. As you can see, our revenue development in the entertainment segment mainly reflect the close correlation between consumer spending on the one hand and the willingness of companies to invest in the advertising budgets on the other hand. Both factors were characterized by an ongoing restraint, which is still mainly linked to a demanding macroeconomic environment in our core markets. As a result, the entertainment segment recorded a revenue decline of 11% to €2.574 billion in 2023. This was mainly due to the development of advertising revenues in the DACH region, which decreased by 6% to €1.853 billion. However, we are able to observe that DACH advertising revenues stabilized towards the end of the year and reached previous year level in the important fourth quarter. While the decline in TV core advertising revenues slowed significantly, digital and smart advertising revenues grow dynamically by 10% both in Q4 and the full year 2023. This was driven by Joyn, higher programmatic advertising spend and our digital audio business. Distribution revenues developed stable and increased by 1% on a full year basis. This was achieved besides the loss of the formerly external Joyn distribution revenues, which we've shown beforehand as revenues in our annual accounts. They will now be consolidated for the first-time in our accounts due to the last year's acquisition of the remaining 50% outstanding shares in Joyn. The content revenues decreased by 55% to €158 million in the fiscal year 2023, mainly as a result of the disposal of our U.S. production business, Red Arrow Studios, in July 2022. Its contribution to revenues in the same period last year was €136 million. Besides that, in 2022, the business still benefited from the production of the Anansi Boys series, which generated revenues in the mid-double digit million euro range. The full consolidation of Joyn also had a negative impact. Other revenues benefited from the first-time consolidation of Joyn, mainly driven by the SVoD revenues of Joyn. The segment's adjusted EBITDA declined by 16% to €473 million. This reflects the cyclical decline in the high margin advertising business. The group responded to the advertising trend by reducing its programming cost by 8% to €948 million. In addition, and as expected, the first-time full consolidation of Joyn had a negative impact of €38 million on earnings. Please note, and as Bert will lay out later on in more detail, the group continued to invest in the development and expansion of Joyn in order to strengthen its digital reach and to be able to monetize it more efficiently. Please turn to Page 9, where we are now coming to the performance of our segment, Commerce & Ventures. The Commerce & Ventures segment showed in the fourth quarter a dynamic revenue growth of €37 million to €322 million. For the full year 2023, revenues amounted to €844 million. This means an increase of €88 million. On an organic basis, revenue growth was 13% in both Q4 and 2023. The segment's performance in 2023 was marked by a combination of declining advertising revenues in the SevenVentures business and offsetting revenue growth in the digital platform and commerce business. SevenVentures was impacted by the postponement of campaigns and the reduction of advertising budgets of its digital-driven customer base in 2023. Many digital-driven clients suffered from the negative capital market sentiment. They lacked access to fresh money coming from venture capital. And last but not least, they felt a high pressure from its investors and shareholders to become profitable. All these aspects led to a reluctance of these clients to spend on advertising on the level as recognized in previous years. Furthermore, rising interest rates, increased clients' financing costs, while recession and inflation reduced clients' willingness to invest in advertising. As a result, many growth companies decided to reduce the advertising spending in order to improve their profits in the face of lower growth prospects. But even of this negative trend, the segment Commerce & Ventures was able to demonstrate a strong revenue growth compared to last year. This positive revenue development in the digital platform and commerce portfolio was mainly driven by the performance of the Consumer Advice and Beauty & Lifestyle verticals. These verticals were able to more than offset the decline in the experience vertical means Jochen Schweizer mydays. Here, I'd like to note that due to the change in accounting method at Jochen Schweizer mydays, the company is now recognizing a large part of the revenue resulting from the non-redemption of vouchers with a delay of at least three years. This means the revenue development in 2023 reflects not the business development of 2023, but it shows the weak voucher sales in 2020 due to the pandemic, where a lot of experiences could not be offered to our customers, particularly in Q4. Verivox, with a revenue growth of more than 100%, benefited from a strong recovery of the energy market since the beginning of the year, but also from a higher contribution from new verticals such as insurance, loans and investment products. Flaconi took advantage of the continued strong online demand for beauty products and was able to increase its revenue by more than 20% compared to the prior year. Also, the adjusted EBITDA of the entire Commerce & Ventures segment showed a significant increase of 42% to €59 million in 2023. This was primarily driven by the dynamic and profitable growth of the Consumer Advice and Beauty & Lifestyle verticals. It is worth noting that the decline in high-margin advertising revenue of €35 million in SevenVentures was more than offset by the digital platform commerce portfolio. Overall, we achieved an increase of the adjusted EBITDA of €18 million within this segment. Let's now have a look at the performance of Dating & Video on Page 10. Revenues in the Dating & Video segment declined by 16% to €434 million in 2023. On an organic basis, revenue declined by 15% in 2023. The dating business recorded full year revenues of €245 million, a decline of 10%. While eharmony's revenue were stable in local currency, the segment's European brands, especially Parship and ElitePartner were impacted by the effects from the new German fair consumer contracts regulation, which was introduced in March 2022. These regulations affected the dating revenues from Q3 '22 onwards with a more significant impact on 12-month subscription contracts from Q2 2023 onwards. Revenues in the video business reached €188 million in 2023, a decrease of 23% compared to the previous year. The decline was due to increased competition in the U.S. Furthermore, the video business had still benefited from COVID-19 related tailwinds in 2022. To counteract the decline, ParshipMeet Group initiated efficiency measures already in Q1 2023. The group reduced the total workforce by around 10% and launched a platform consolidation project for its social dating apps. Livebox discontinuation of three sizable B2B contracts will impact the video segment's revenue basis in 2024. However, the focus of the live streaming business on owned and operated apps reduces ParshipMeet Group's exposure to cluster risks. This partly shifts revenues to higher-margin businesses. The adjusted EBITDA of the Dating & Video segment decreased by 27% in 2023. Efficiency measures help protect the adjusted EBITDA given the lower revenues. So let me continue with comments on the financial leverage and net debt development on Page 11. The group's net financial debt amounted to €1.546 billion at the end of 2023, which represents a reduction of €67 million compared to the end of 2022. I would also like to emphasize that the fourth quarter alone made a significant contribution of €230 million to the net debt reduction. This also reflects the improved cash flow profile over the course of the year. As a result, the year-end leverage ratio of 2.7x was within the range of 2.5x to 3x, we targeted for the financial year 2023. And as a side note, I'd like to mention that we should keep in mind that we have significantly reduced our net debt over the last four years. Despite dividend payments of in total around €300 million for the last four years, the group's net debt fell by almost €700 million, and this in a challenging macroeconomic environment with various crisis. And also, our adjusted EBITDA has declined since 2019, we have managed to keep our financial leverage ratio more or less stable. This highlights that it was and it will be in the future our top priority to put the company on a solid long-term financial basis. Not only from a net debt but also from a leverage perspective. We are convinced that this approach will ultimately benefit our shareholders who will participate in a higher share of the company's enterprise value. Having said this, let me now come on Page 12 to our dividend proposal for the upcoming Annual General Meeting, which will take place at the end of April this year. As I just mentioned, maintaining a solid financial profile will continue to be one of our key financial management objectives. Last year, we communicated that in addition to the general economic environment, we paid particular attention to an appropriate level of net debt and financial leverage when determining distributions to shareholders. And we will also take into account the need to invest in the business, including the realization of strategic growth opportunities, particularly in the core entertainment business. Against this background, we, the Executive Board, together with the Supervisory Board, decided to propose to the Annual General Meeting again a dividend of €0.05 per share on April 30. This proposal takes particular account of the fact that our financial leverage is expected still to be above the upper end of the targeted range of 1.5x to 2.5x at the end of 2024. And with this, I would like to end my part of the presentation and hand back to Bert.
Bert Habets: Thank you, Martin, for these details. Let us now continue with an update on the operations. Let us first have a look at the overall advertising market in the past year. When we look at the full year 2023, most industries were below prior year. This underlines the hesitation of the broader advertising market, which was due to the burdened macroeconomic environment. Nevertheless, we have seen a positive development throughout most industries in the fourth quarter. Many of them, among them, the cleaning, consumer electronics and the food industry increased their advertising spending towards the end of the year significantly. The challenging macroeconomic environment, again, influenced our TV core advertising revenues in 2023. Compared to 2019, the year before the outbreak of the COVID-19 pandemic, we recorded a decline in the three-digit million euro range. This also has been the main reason for the decline in our earnings since then. To offset this decline, we are increasingly investing in our digital and smart advertising portfolio. By doing so, we partially compensate for the decline in the linear TV advertising. In particular, digital and smart advertising revenues in the German-speaking markets reached almost €300 million in 2023. This represents an average increase of 9% over the last four years and underpins the fact that our efforts to digitize the entertainment business were successful, even in a weak advertising market environment. Thanks to the steady growth of our digital and smart advertising revenues, the share of total advertising revenues in the DACH region is now 16%. We are very confident that we can significantly increase the share further with the growth of Joyn addressable and programmatic advertising revenues on TV, as well as our podcast business. At the same time, this should reduce our dependence on traditional TV core advertising revenues. We are also benefiting from an improved macroeconomic environment. The decline in inflation, in particular, has a significant impact on consumers' willingness to spend and thus, on our customers' advertising expenditure. The chart on the left illustrates the connection between above average inflation and the reluctance of advertising customers to invest. We saw this at the end of the financial year 2022 and at the beginning of last year. Fortunately, we have seen a steady improvement in advertising revenue development in the DACH region since the first quarter last year. While the first quarter of 2023 still recorded a decline of 12%, the fourth quarter already turned slightly positive. In the first two months of the year, we achieved a further increase in entertainment DACH revenues. This confirms the improving underlying trends. And what's truly important, we are offering our advertising customers the right audience for their spendings. Since January, we are expanding our advertising target group to the 20 to 59-year-olds. Before, it was 14 to 49 years. The target group is made up of the various relevant target groups of our stations. The reason behind this adjustments, we address the demographic change in our population, and we focus on the target group with a very high purchasing power. This helps us to meet the demand of our advertising clients and also increases our target group by around 9.2 million more average monthly net viewers. The 20 to 59-year-olds also have a high usage of TV. On average, they watch TV 174 minutes daily. It therefore makes sense for us and for our advertising clients to put them in the center of our sales offering. Just this February, we also achieved another milestone. We started a pioneering cooperation with RTL Germany in the field of advertising technology. We want to make advertising bookings even more convenient and easily accessible for our customers. And this is why we are creating one of the most advanced Ad Tech stacks. And this makes us even more attractive for agencies and advertisers. In the near future, they will be able to book across all platforms for the two TV houses in just one offering. With this initiative, we transform our core business entertainment by digitizing our linear TV tech environment. We enable a combined booking, measurement and reporting across linear TV, addressable TV and connected TV. And this new platform, we and RTL seamlessly integrate our technology, thus creating a unique offering. This helps us to defend and attract advertising budgets throughout the German-speaking region. This cooperation is Ad Tech made in Europe as it is aimed to be made available across Europe. In December, we communicated that we want to increase our local content investments by around €80 million to strengthen our channels and boost Joyn. This increases our programming expenses to a total of over €1 billion. Our local focus will sharpen our position against the global players because it is appreciated by our viewers. Local content achieves above-average market shares on our channels. In prime time, on the ProSieben channel, market shares of local programs were 35% higher than the U.S. licensed content in 2023. In addition, most of our successful formats with a market share of over 10% were local formats. We offer many of these formats such as Stealing the Show or Celebrity Big Brother on our channels as well as on our streaming platform, Joyn. On Joyn, they add significant reach, and they also allow for platform-independent consumption, no matter where and when they want to watch the program. And our local formats also contributed to the positive development of Joyn in the past year that I presented right at the beginning. For Joyn, the fourth quarter 2023 was the best quarter ever. This shows that the focus on our streaming platform is paying off, and we see increases in all of our key performance indicators. Monthly video users grew by 30%, video view time grew by 15%, Joyn's AVOD revenues grew dynamically by 37% compared to the previous year's quarter. This underlines that Joyn is an interesting case for our advertising clients. The growth was also triggered by linking Joyn closer to our TV channels. This is a proof for our strategy. Let me give you one example, Celebrity Big Brother. Celebrity Big Brother posted the best season since 2019. This year, we extended our established linear format onto our digital platform. In a 24-hour live stream on Joyn, the users had the opportunity to follow the participants for the whole day. A good example of the symbiotic interaction between channels and Joyn. Titans is very closely linked to Celebrity Big Brother and Joyn's technical setup enables new possibilities for our content. We also want to position Joyn with unique formats and therefore, we are increasing our investments in exclusive originals. We have already announced some new originals for 2024. The vampire comedy, Der Vampyr will be an example for strengthening our fiction offering. We are also expanding Joyn's reach through corporations. Around 35 million devices now have Joyn prominently available from services over phones and tablets to connected smart TVs. This is an excellent starting point for bringing even more users to Joyn with attractive content. Just in February, we closed a new distribution deal. Joyn is now also available on Deutsche Telekom's Magenta Tiefbau. Through this partnership, we are opening up additional reach for Joyn's free streaming service with corresponding advertising revenue potential. And this is not the only potential arising for Joyn. On July 1, house tenants in Germany will be able to decide for the first-time whether and how they want to watch TV. This marks the end of the so-called Nebenkostenprivileg. Around 11 million cable households in Germany will be affected. Joyn can be a very good solution for people who want to watch both linear TV and video-on-demand content at no extra cost. The only thing you need is Internet and an Internet-enabled TV for your device of choice. Our distribution business can also benefit from this change as not only cable companies but also various IPTV or OTT providers are entering the market with new TV offerings in host business we participate. Another focus of our distribution business is our HD free-to-air offering. We have proven to have a very resilient business model here. Over the last 10 years, we grew our HD business with a CAGR of 11%. This underlines that the demand for HD content is still very high, and this makes it a constantly growing, highly visible and highly profitable monetization driver for us. Also, our Commerce & Ventures business unit proved its resilience in the last year. We have transformed and optimized our portfolio in order to increase revenues and adjusted EBITDA in a challenging macroeconomic environment. Let us look more closely at our key portfolio companies, Flaconi and Verivox. Flaconi recorded revenue growth of 20% year-on-year. The online beauty market performed strongly in the past. And we also improved the operational setup. We realigned assortment, marketing and logistics, and this led to a positive EBITDA in 2023, a substantial improvement compared to the last year. At Verivox, we saw a positive development across all verticals. Revenues more than doubled compared to the previous year. Our assets even outperformed the pre-energy crisis level in revenues and EBITDA. This was also supported by a brand campaign, which strongly impacted the company's brand awareness. In our Dating & Video segment, we early stage recognized the difficult market conditions caused by regulatory headwinds in the DACH region and increased competition in the U.S. Besides streamlining the organization with a reduction of the workforce by approximately 10%, we focused on creating an attractive product portfolio for our users and strengthened our product range. We grew our user base and will continue to introduce new features to increase interaction among our users. This will help us to improve the customer experience. Let me conclude the presentation with our ambitions and financial outlook for 2024. Entertainment is at the core of our business. After a positive start into the year, we are working on growing our advertising revenues in the German-speaking region again, also on a full year basis. We will expand the exclusive local programming content by €80 million. This will further strengthen our market share in linear TV and boost our streaming platform, Joyn. In the Commerce & Ventures segment, we will continue the dynamic revenue and earnings growth of our key portfolio companies. We are also expanding our SevenVentures portfolio. Here, we actively work to revitalize our advertising business with growth companies. In line with our commitment to value creation, we are focused on unlocking the value of noncore assets. In our Dating & Video segment, we are actively working on stabilizing the business. With targeted initiatives, we want to improve the efficiency of customer acquisition costs for our dating brands. This will also support us in improving the overall performance. Our live streaming business will focus on our owned and operated applications. Having said this, we aim to further increase the efficiency across the group. What does that mean in numbers? Even if the macroeconomic environment remains uncertain and challenging in 2024, we aim to increase group revenues to around €3.95 billion with a variance of plus/minus €150 million. The expected growth in revenues for 2024 depends, in particular, on the development of the entertainment advertising revenues in the German-speaking region. With group revenues at the midpoint of the target range, ProSiebenSat.1's expects entertainment advertising revenues in the German-speaking region to grow by around 2%. For the TV core advertising revenues included in this figure, ProSieben.1's expects a stable development compared to the previous year's level. At the same time, we expect digital and smart advertising revenues to continue their growth, driven by Joyn, amongst other things. We expect an adjusted EBITDA of €575 million for the group, with a variance of plus/minus €50 million, and thus, at the midpoint, an adjusted EBITDA at the previous year's level. Adjusted for currency effects and portfolio changes, adjusted EBITDA amounted to €580 million in the financial year 2023. This forecast reflects the announced increase in programming expenses, which despite offsetting saving effects from efficiency measures will have a negative impact on the segment adjusted EBITDA, but will sustainably strengthen the growth in the entertainment business. The group expects adjusted net income to be around the previous year's level of €225 million. Adjusted net income is significantly influenced by the development of adjusted EBITDA as well as the financial results and income taxes. The adjusted operating free cash flow is the group's relevant cash flow management indicator, which largely reflects the development of adjusted EBITDA. For the financial year 2024, we assume that adjusted operating free cash flow, for reason of comparability, adjusted for the change in investments in relation to the construction of the new campus at the premises in Unterfohring will be in a double-digit million amount above the previous year's figure of €260 million. We pursue a clear strategy aimed at sustainable and profitable growth. The group, therefore, measures the company's medium-term financial success using the key figure ProSiebenSat.1's ROCE. Due to the expected stable development of adjusted EBITDA, we expect ProSiebenSat.1's ROCE in the financial year 2024 to be at the previous level of 11%. The aim is to achieve a return on capital employed, ProSiebenSat.1's ROCE, of at least 15% in the midterm. The group is focusing on strengthening profitability and a lean cost structure, which will have an increasingly positive impact on earnings performance and at the same time, open up for more headroom for investments, especially in local programming content. In order to strengthen the market share in linear TV and the growth of Joyn, ProSiebenSat.1's group will focus even more clearly on exclusive local content and increase its programming expenses by around €80 million in 2024. Our total programming costs will thus amount to €1.030 billion in 2024. ProSiebenSat.1's generally aims for a leverage factor between 1.5x and 2.5x at the end of the respective year. However, assuming a stable development of the adjusted EBITDA and higher investments in programming content, the group currently expects a leverage ratio of between 2.5x and 3x at the end of 2024. Last year, we took important steps to transform the company and implement efficiency measures. 2024 will be about successfully executing our strategy, while continuing the efforts to implement efficiency measures. Thank you for your attention, and we are now looking forward to your questions.
Operator: [Operator Instructions]. We will take the first question from Annick Maas.
Annick Maas: My first question is on Verivox. Now that the asset is doing quite well again. Is it time to monetize this asset in the near-term? My second one is on dating. You would like to stabilize the dating business. Can you give us a bit more examples of how you would like to do that? And maybe within that, tell us how Parship should do within the dating business? And then you've said that the first quarter -- or the first couple of months, so far the TV advertising business is doing better. Can you maybe give us a little bit more detail on what that means?
Bert Habets: Indeed, we are very happy with the performance of Verivox. It's also fair to say that Verivox is off to a strong start into the new year. And we've always been very consistent in our guidance that once the market conditions are there, we will be open to crystallize value. I think that goes for our whole NuCom portfolio in general, and we will explore options for Verivox over time. The second question was on dating and on stabilizing the business, I think it's fair to say that we have taken already last year in an early-stage cost measures and reduced the workforce by approximately 10%. We have -- we are looking into further streamlining the business further in 2024 and to stabilize it also by integrating IT platforms and bring this more together in one setup going forward. Besides that, we are looking into enriching and broadening the feature set of the services rendered, so that we have more interaction with the users itself to basically enhance the services that we are offering. And I think that this should contribute to a further stabilization of the business. Parship, specifically is still suffering from the lack of the automatic contract renewal that has been implemented in the German-speaking region. We are getting to the end of the negative impact because of the early implementation in the course of last year. So going forward, I expect the business to be more stabilizing. And furthermore, we are taking the same measures at group level by further developing the product offering and to increase the interactivity with the user base to enhance the services we are rendering there. On your third question, the start of the TV ad market. Yes, it's fair that to say that Q1 is continuing the trend that we have seen in Q4 of last year from a negative market trend to a positive trend in December. This trend now continues in Q1, and we are looking for the TV market to grow with a low to mid-single-digit percentage in the first quarter of the year.
Operator: We will take our next question from Julien Roch. We will take our next question from Tom Singlehurst.
Tom Singlehurst: Tom here from Citi. I mean, first question on the advertising. Obviously, encouraging you saw a return to growth in 4Q. You talked about that low- to mid-single digit progression in the 1Q, which is great. I suppose, firstly, within that, how much of an impact is there from the timing of Easter and the extra day in February. And then given sort of large events, particularly the euros in the 2Q. In terms of phasing, should we expect better 1Q, weaker 2Q and then a rebound in 3Q? Any commentary about the anticipated phasing of growth, just so we could minimize scope for surprises, that would be great. And then the second question on the content investment. Very encouraging seeing that additional push into local programming. You did talk about write-downs on U.S. content. I'm just wondering whether they continue into this year and what the cash impact of that is?
Bert Habets: Thank you, Tom, for your questions. Advertising, as I stated, low to mid-single digit for the TV market. Digital advertising continues to grow at the pace of low double-digit numbers in the first quarter of the year. On your question towards the timing aspects of Easter, I think this will be very limited in phasing versus last year, given the fact that there's hardly just one timing -- one week of timing difference between the two events. So, I think the phasing impact will be very, very limited on that part. On your question to content investments, we've taken a significant write-down of U.S. content indeed last year. Based on our long-term planning dialogue, additional write-offs are not foreseen in the coming period. And that means that within the existing deals that we are currently having, we are foreseeing enough to fill our program grids. And we will also, going forward, be very cautious in any additional content acquisitions to avoid any further write-downs of licensed product going forward.
Tom Singlehurst: Very clear. And actually, one follow-up, if possible, on the topic of the leverage guidance, which is very clear, but you have made references to potentially taking more action on disposals. I just wanted to clarify that the net debt guidance, at least the range is on the assumption that there aren't any asset sales of any form. Is that the right, sort of, starting point for how we think about it?
Bert Habets: Yes, thank you for that question. I think our leverage guidance to the market is not assuming any disposals for the year. I'm not sure whether that fully answers your question, but this is the assumption that we are -- that is part of what we have guided to the market.
Operator: [Operator Instructions]
Dirk Voigtlander: Okay. Ladies and gentlemen, as there are no further questions at this point in time, which is probably due to the fact that the conference call of our colleagues at ITV is about to start. Okay, we have another one. Excuse me.
Operator: We will take our next questions from [Younis Lavans].
Unidentified Analyst: Just one quick question from my side. In December, you announced a write-down of up to €250 million. So may I ask you what impact do you expect in the coming years?
Bert Habets: Thank you for your question. I think, indeed, we took a write-down on license products, mainly from the U.S. in December 2023. Going forward, we are very cautiously planning and assessing our acquisition policy of U.S. licensed products based on the [view] grids in the coming short-term and midterm planning dialogue that we have within the programming departments. So in the upcoming periods, I do not expect and foresee any additional write-downs for the coming period.
Operator: We will take our next question from [Julian].
Unidentified Analyst: My first question is on your viewing KPI that you put on Page 32. I mean for revenue, you give us linear and smart advertising. For viewing, you only give us on-demand viewing. So could we get total viewing for your programs across all devices in German-speaking? That's my first question. And then on dating, it's been several years that it's going backwards. Any indication on '24, when do you think dating can go back to flat or growth?
Bert Habets: Thank you for your questions. It's indeed that we do not yet guide on the total viewing time of TV digital combined. So that is a KPI we are not sharing yet to the Capital Markets. Happy to look into that maybe along the line with the team itself. Going forward to your question on dating, I think 2024 will be a year where we will really focus on further stabilizing the business. And as I stated, especially for our business in the DACH region, I hope that we will get to the end of the negative impacts on the lifetime value of the customers through the lack of contract auto renewal that we currently are getting through. It's difficult to foresee when we will get to a growth trajectory for the whole group there. We are also still continuing to look and streamline the business, also looking into how to make marketing spend more efficient. But given the fact that also in the U.S. market, market environment is quite competitive, it's difficult to guide any growth trajectory for the business right now.
Dirk Voigtlander: Okay. Ladies and gentlemen, as there are no further questions in the conference call of our colleagues ITV is about to start, that concludes the Q&A session and today's call. As always, my colleagues in the Investor Relations team and I will be available to answer any follow-up questions you may have. So, thank you, everyone, for joining us today, and we wish you all the best. Goodbye.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.